Operator: Welcome to the Greenbrook TMS, Inc. Q3 2022 Results Conference Call and Webcast. [Operator Instructions] I would like to remind you that this call -- conference call is being recorded today and is also being webcast on the company's website at www.greenbrooktms.com under the Investors section, Events. [Operator Instructions]. Analysts and investors are reminded that any additional questions can be directed to the company at investorrelations@greenbrooktms.com. This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on currently available information, forward-looking risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that could cause results or events to differ materially from current expectations are discussed in the Risk Factors section of the company's annual report on Form 20-F for the fiscal year ended December 30 and in the Risk and Uncertainties section of the company's management's discussion and analysis for the period ended September 30, 2022, and in the Canadian Securities regulatory authorities and the U.S. Securities and Exchange Commission from time to time, which are available on SEDAR and EDGAR and on the company's website. Any forward-looking statement speaks only as of the date on which it is made and the company disclaims any intent or obligation to update any forward-looking statement unless required by law. I would now like to turn the meeting over to Mr. Bill Leonard, President and Chief Executive Officer of Greenbrook TMS; and Erns Loubser, Chief Financial Officer. Please go ahead, Mr. Leonard.
Bill Leonard: Thank you, Colin, and thank you to everyone for joining our conference call and webcast today. Q3 2022 was a very busy and exciting quarter for the company. The Success TMS acquisition added significant operating scale and top line growth to the business and allowed us to achieve a record quarterly consolidated revenue as well as our highest quarterly treatment volumes and consultations performed to date. Furthermore, we recapitalized the business with a supportive debt partner in Madryn Asset Management. Revenue for Q3 2022 increased by 58% to a record high of $20.8 million as compared to Q3 2021. Quarterly treatment volumes in Q3 2022 increased by 74% to a record high of 95,046 as compared to Q3 2021. Most exciting consultations performed in Q3 2022 increased by 156% to a record high of 8,797 as compared to Q3 2021 while new patient starts increased by 87% to 2,848 as compared to Q3 2021, outpacing the revenue growth. We believe that these increases in consultations performed and new patient starts provide strong momentum into the fourth quarter of fiscal 2022. We are also very excited about the ongoing rollout of our Spravato program at select TMS Centers, which continue through Q3 2022. The program supports our long-term business plan of utilizing our existing network of TMS Centers to deliver new and innovative treatments to patients suffering from MDD and other mental health disorders. Providing Spravato at our TMS centers enable us to leverage excess capacity in our existing centers, thereby enhancing our profit margin. As at September 30, the company has expanded its offering Spravato to 35 TMS Centers across the U.S., up from 25 TMS centers as of June 30. While I'm reviewing our highlights, I will repeat that we completed the previously announced acquisition of TMS -- Success TMS on July 14, 2022, and concurrently entered into a credit agreement for $75 million secured credit facility with Madryn Asset Management and its affiliated entities, drawing down $55 million term loan at closing on July 14, 2022. From a development perspective, as of September 30, 2022, our footprint consisted of 184 centers in 20 states, up from 131 centers at September 30, 2021. The Success TMS acquisition added 47 TMS Centers to our network, all complementary to our existing footprint. During the quarter, management focused on integration of the combined business and the execution of near-term operational synergies with a focus on accelerating the company's time line to profitability which included reducing our TMS center footprint by seven. We are very pleased with the progress of the integration and synergies realized to date, but our work is not finished. We see significant synergies that we can take advantage of over the next 12 months. And for now a more detailed review of the company's financial and operating performance, I will turn it over to our CFO, Erns Loubser.
Erns Loubser: Thank you, Bill. Before I move into a detailed financial results review, it's important to contextualize the Q3 2022 results. We consolidated 2 independent businesses with fully fledged cost structures. And although we've made solid progress on executing on synergies, we have not had the time to fully realize the material synergies available to us. The current cost structure, therefore, still includes the significant duplication of costs, which we believe when removed, can make a material impact to the company's profitability profile. As Bill mentioned, revenue for Q3 2022 increased by 58% to a record high of $20.8 million as compared to Q3 2021 and 26% to $48 million for year-to-date 2022 as compared to year-to-date 2021. This was driven predominantly by the completion of the Success TMS acquisition in Q3 2022 and Achieve TMS East/Central acquisition in Q4 2021. Average revenue per treatment decreased by 10% to $218 in Q3 2022 as compared to Q3 2021 and decreased by 4% to $222 in year-to-date 2022 as compared to year-to-date 2021. This decrease was primarily attributable to the geographical distribution of revenue. We're happy to report that same region sales growth came in at 17.1% in Q3 2022 as compared to 9.4% in Q3 2021 as a result of the growth in our mature regions. Same-region sales growth was 6.9% in year-to-date 2022 as compared to 14.9% in year-to-date 2021 as a result of the growth in our mature regions. The decrease in the year-to-date figure was predominantly due to tight labor market, coupled with prevailing inflationary environment. Q3 2022 resulted in entity-wide regional operating loss of $0.8 million as compared to an entity-wide regional operating income of $0.2 million during Q3 2021. Entity-wide regional operating loss was $2 million during year-to-date 2022 as compared to $0.3 million during year-to-date 2021. As mentioned earlier, the decrease predominantly related to the duplicate costs associated with the Success TMS acquisition and a challenging economic environment early in the period. Corporate G&A for Q3 2022 increased by 87% to $9.6 million as compared to Q3 2021, an increase by 29% to $20.4 million during year-to-date 2022 as compared to year-to-date 2021. It's very important to note that these increases predominantly reflect the onetime professional and legal fees related to Success TMS acquisition and the Madryn Credit Facility and the revaluation -- the equity-based conversion instruments in connection with the Madryn Credit Facility. Excluding onetime costs and equity-based conversion instruments, the increase in growth of corporate G&A was 31% and 17% during Q3 2022 and year-to-date, respectively. This indicates a relatively lower growth rate as compared to the growth in revenue, illustrating that the business is scaling into its centralized business infrastructure. Once again, bear in mind, we still believe that we can execute on material synergies, which we believe will rationalize the cost structure even further. Our operating leverage and planned revenue ramp from the Success TMS acquisition supports the near-term time line to profitability. The loss for the period and comprehensive loss increased 386% to $16.8 million during Q3 2022 as compared to Q3 2021 and increased by 78% during year-to-date 2022 as compared to year-to-date 2021. This increase similarly was predominantly due to incurring duplicate costs of the combined business after the acquisition of Success TMS arising from operational synergies not yet executed, as previously mentioned, also increased interest expense, depreciation and amortization on acquired net assets, loss on extinguishing of loans and the revaluation of equity-based conversion instruments played a major role in the increased loss. From a balance sheet perspective, accounts receivable balance in Q3 2022 increased by $3.4 million as compared to Q4 2021 primarily due to the acquisition. As Bill mentioned, the company completed the previously announced acquisition of Success TMS as on July 14, 2022. The company also concurrently entered into a credit agreement for its previously announced $75 million secured credit facility with Madryn Asset Management and its affiliated entities, drawing down $55 million term loan at closing on July 14, 2022. Importantly, the proceeds from the credit facility were used as follows: $15.4 million to repay the Oxford Credit Facility, $15.1 million to repay previously loans held by Success TMS, $3.1 million in finance, $2.9 million to normalize vendor payment aging resulting from cash management practice suppliers to strengthening our balance sheet and $2.3 million in cash investment in new TMS central locations at -- on the Success TMS side, leaving a remaining balance on the proceeds with respect to the Madryn Credit Facility of $16.2 million. The cash balance of $11.2 million as at September 30, 2022. Moving to our core operating metrics. As of the end of Q3 2022, the total TMS centers increased by 40% to 184 from 131 a year ago. Compared to Q3 2021, the number of consultations performed increased by a significant 156% to a record 8,797, while the number of new patients starts increased by 87% to 2,848 , which we believe will provide strong momentum into the fourth quarter of fiscal 2022. Number of treatments performed increased by 74% to a record 95,046 as compared to Q3 2021. These increases were predominantly due to the additional TMS Centers acquired by the company in connection with the Success TMS acquisition as well as operational changes to our intake process. We anticipate that our record highs in quarterly consultations and patient treatment starts, coupled with the success TMS acquisition and the continued rollout of our Spravato program to be a catalyst for accelerated future growth. Back to you, Bill.
Bill Leonard: Thank you, Erns. We're very excited about the scale and reach of our new combined platform. In management, we have a strong strategic partner, which we expect will help in accelerating Greenbrook's ability to grow and further expand our mental health platform as we move to profitable operations. Our all-stock acquisition aligns shareholder interest, both strategically and financially. Our Spravato program adds to our repertoire of innovative treatments building on the company's long-term business plan of utilizing its center network as a platform to serve patients suffering from major depressive disorder, OCD and other mental health disorders making the best treatments available. We expect this to be a core growth driver going forward. Our record quarterly highs in revenue, treatment volumes and consultations perform, coupled with the continued role of our Spravato program, demonstrate the value of our business model and growth strategy, allowing us to deliver exceptional patient care to those suffering from mental health disorders. Over the next couple of quarters, we will continue to focus on the integration of the combined business and our near-term synergies with our focus on positive cash flow. Before ending, I would like to take a moment to thank our amazing team. We are extremely proud of them as continue to deliver the highest level of care. Most importantly, we know that we are making a difference. Our services are in high demand as mental health disorders are at unprecedented levels. We have now treated over 27,000 patients with over 1 million treatments performed, an amazing milestone for the company, our physicians, our staff and the entire TMS industry. We are having a significant positive impact on the lives of so many people suffering from mental health disorders. We look forward to keeping you updated on the progress of the company. Thank you for your time today. And with that, Collin, we will now take questions.
Operator: [Operator Instructions]. Your first question comes from Noel Atkinson from Clarus Securities.
Noel Atkinson: Well done in Q3. First off, just Hurricane Ian kind of rolled through Florida at the end of the quarter. I was wondering if there was any impact on revenue there.
Bill Leonard: There definitely was an impact, unfortunate timing of the hurricane and still bad people had to go through it. It was probably somewhere between $600,000 to $700,000 in terms of the revenue hit to Florida. Some of those patients came back into the system. Our staff did an amazing job of turning around our centers within a 3- to 5-day period. But obviously, some patients were lost due to the impact of them on a personal level in terms of their house and family. So it definitely had an impact to us on that late in the quarter.
Noel Atkinson: Okay. I was wondering if you'd be able to provide some detail on Spravato, it's now at 35 centers, you've been growing your deployment quite quickly of that treatment mechanism. Are you able to provide any details about your Spravato activity in terms of percentage of total treatments or how average rate is relative to the corporate average or anything like that?
Bill Leonard: Absolutely. From a company standpoint, revenue per treatment is north of $300. Again, you're seeing less treatments per month, but at the same time, that patient is staying in the Spravato program for -- in a maintenance session as well for 2 to 3 months. So it's consistent revenue. Interestingly, about half our patients that we've treated thus far have utilized both modalities, whether they started out in TMS therapy in the past and have come back with Spravato. So it's really giving you kind of their reflection on Greenbrook and the care they got in their initial treatment. It is very complementary of one and other. Just shy of about 10% of our patients have moved from Spravato to TMS. And in some cases, we do have some patients that are having both modalities. So we like what we're seeing with Spravato in terms of growth. But keep in mind, it only represents about 8% of our revenue in Q3. We're still truly focused on being the leader in TMS therapy and continue to grow in that area, which represents about 90-plus percent of our business. And lastly, I don't see us ending the year at 35 centers. I'll see that continue to grow throughout that Q4.
Noel Atkinson: Okay. So I think you folks were hoping to get to a run rate of 5% to 10% of revenues at the end of exiting 2022 for Spravato. And even though Success doesn't do any Spravato treatments, you were already at 8% on the combined business in Q3.
Erns Loubser: That's correct. We're well within that range and expect to stay there. And...
Noel Atkinson: Okay. And then just one last quick thing here. I don't know if you folks have provided this before. Could you just refresh our memories if you provided any targets for ultimate cost synergies through the Success integration? And then -- or feeling that, could you give us a sense of what the savings potentially are for Q4 versus Q3?
Erns Loubser: Yes. So we haven't given guidance on the ultimate percentage of those materials. What I can say is -- if you take the 2 businesses as separate and the cost structures versus the combined business, we've managed to take out roughly $1.1 million in recurring costs out of the business. So that represents just north of $4 million in annualized costs. We've only started scratching the surface as it relates to that. And although I'm not going to put myself to a specific number, there's still multiples of that out there as it relates to duplicate costs as we referenced in our public disclosures.
Bill Leonard: Just to add to that, Noel, I think our initial onset of synergies is really we tackle the low-hanging fruit. You took a marketing area, 2 companies with 2 different vendors, really merged that to create that synergies in the first area. Obviously, more material changes and synergies available to us, as Erns alluded to. In the revenue cycle management area, you want to make sure that when you take over a company the size of the Success, you want to make sure you line up those contracts and make sure everything is covered off in terms of the revenue cycle management side. In addition, the intake side, we're seeing significant opportunities in response in the intake system, which we highlighted successful and their expertise. So we have plenty more material synergies to go. We took advantage of kind of the low-hanging fruit in the first quarter.
Operator: [Operator Instructions] Your next question from Frank Takkinen from Lake Street Capital Markets.
Frank Takkinen: Congrats on all the progress. I wanted to start with the consultation number. That number looked disproportionately strong. Obviously, the year-on-year comp isn't perfect given it's inclusive of Success, but that number looked to be even more disproportionately strong, even considering the Success contribution. So maybe just unpack that a little bit, what potentially occurred in the quarter? And how does that provide you guys confidence going into Q4?
Erns Loubser: Well, I think, yes, as you say, 58% growth in revenue, and we consolidated consultations at the same time and 156% growth in there. So we're very pleased with that, and that really is a forward-looking indicator what that potential pipeline -- patient pipeline looks like. And I think that is a result. We always said one of the things that the Success platform did very well is kind of on the intake side. And as I think in executing that synergies and integrating the business, we started to yield results from that. And I think that it obviously took some time to integrate, but we've now seen the results on the consult side that obviously still needs to translate to patient conversions, but it provides -- certainly provides a strong forward-looking indicator going to Q4.
Frank Takkinen: Got it. Okay. That's helpful. And then maybe one on the business development side, a broader question just top down. I heard the comments around Spravato and continued expansion. But maybe looking at the network now that you've had a couple of months with it, maybe just give us your renewed thoughts on business development as far as new consolidation, closure, optimization, just how you're thinking about the current network you have out there right now?
Bill Leonard: Yes. So we did open up a lot of new centers this quarter on the Success side of the platform. We're going to give those time to ramp up. We expect a quick ramp and kind of as we go into the new year. As far as new centers are going to go, we'll always take a look at opportunities to come our way, both with potential partner doctors and also new development. We believe we have great opportunities to kind of continue to ramp the underperforming areas that were impacted by COVID. Spravato, as I said, we expect that number to grow by the end of the year and then into 2023. And then lastly, we will -- as a management team, we're always going to evaluate the performance of our centers, whether they're impacted by payer criteria or the fact too close to other centers. So that's going to be a consistent theme throughout each quarter. Right now, we're comfortable where we are, and we'll continue to look for ramp-up both in the underperforming areas, Success and also with Spravato.
Frank Takkinen: Okay. And then last one for me. I think, Erns, your specific commentary was something along the lines of near-term time line to profitability. Can you provide any further color around the bridge to profitability?
Erns Loubser: Yes. So as I outlined, it's very important to contextualize kind of the cash usage. Obviously, a lot of the cash was used to settle debt, catch up on transaction costs and also invest in new centers on the Success side. So the actual operational burn, was actually significantly lower as I've illustrated at first glance, it's kind of $4.5 million to $5 million. And as we said, we have already taken $1.1 million in recurring costs out of the business. We expect revenue ramp for the reasons that Bill mentioned and while taking out the cost in the business. And that translates to what we've already seen as significantly reduced burn. And as we said, we always said we want to be adjusted EBITDA positive kind of by the end of the year, at least at an exit run rate and then move to kind of cash flow breakeven early in 2023. And we laser focused on executing that and pretty confident that we can do so.
Operator: [Operator Instructions] Your next question comes from Alex Silverman from AWM Investment.
Alex Silverman: Congrats on the progress so far. A number of the other folks here asked sort of the same question. But wondering -- I'm going to ask it in a different way. Wondering if you might give us a sense of what a breakeven model might look like? In other words, what's -- what you need to generate at the regional and center level to be breakeven as a business? Or what are you thinking about below that line in terms of spend, just help us with what that might look like.
Erns Loubser: So Alex, in terms of -- we haven't historically given guidance, but what we have always kind of referenced as that business combination. We essentially, if you -- we generated $20.8 million. If you consolidate success for the full quarter, it would be a kind of a $22 million, so called an $88 million run rate. We need to be kind of at the $100 million level and execute on our synergies, and that's essentially what the breakeven model looks like. So the real -- the threshold here is to become a $100 million business, and that's kind of the breakeven scenario.
Alex Silverman: With maybe a 20% regional margin?
Erns Loubser: Yes. In terms of like, as we've guided before, the optimal ultimate regional margin is 30% from a breakeven perspective, that obviously needs to be at about 20% and then kind of the core G&A being kind of 20% that will cause it to be breakeven, yes.
Operator: Your next question comes from Justin Keywood from Stifel.
Justin Keywood: Just on the gross margins of Spravato versus regular TMS services, what's the difference?
Erns Loubser: So the gross margins, very similar profile, slightly higher on the Spravato side because you've got a higher reimbursement rate. As Bill mentioned, it's just north of $300 typical for Spravato treatment. And the ebbs and flows there is you obviously spend -- you don't spend the device cost on that treatment, but you require more provider time. So that kind of washes out to kind of a very similar margin profile, if you call it the center of that target margin of 30%. You can probably run Spravato at a full center closer to 40%.
Justin Keywood: And are there any material setup costs for expanding Spravato's new clinics?
Erns Loubser: So no, it's not material, it's a few chairs. And kind of dividers and kind of repurposing the room. That's -- if you look at our center development costs, the majority of the costs that's going through there because we're not going forward for the foreseeable future without a heavy center development plan is going to be kind of the retrofitting for Spravato, but that's going to be nominal in aggregate.
Bill Leonard: Yes, just to add to that, it's roughly -- we look to have 3 to 6 chairs in each Spravato clinic across our platform.
Justin Keywood: Right. And then -- I know it's relatively early, but as far as the operating margins for a clinic with Spravato plus TMS versus TMS only, is there -- has there been a difference in that? I assume with greater revenue, there's some operating leverage to be had.
Erns Loubser: Yes. No, for sure. So in terms of a -- case study would be kind of our [indiscernible] location is where we launched the Spravato program. And that is obviously not reflective of our entire network of centers, but that operates at above the 40% regional operating margin.
Justin Keywood: Got it. And then just finally, for the pursuits of breakeven EBITDA for the consolidated operations, what's the target timing for that?
Erns Loubser: So breakeven EBITDA is what we really want to push for through, as Bill mentioned, Spravato growth ramp up the new centers and the Success platform plus some of the things we're doing to enhance the underperforming regions. We want to get there. And as we've always said, in Q4 to kind of a breakeven adjusted EBITDA level. And then obviously, we have to ramp a little bit from there to be cash flow self-sufficient, and we hope to do that going into 2023.
Operator: Your next question comes from David Martin from Bloom Burton.
David Martin: I had some problems pulling in for questions and may have missed some things. So I apologize if they've been covered. But you mentioned the $100 million through debt to breakeven and profitability. Do you need new centers for that? Or can you achieve that with the network you have now?
Erns Loubser: No, I think in terms of we're fairly confident, once again, as Bill said [indiscernible] for growth. New centers established. It's essentially since the time we started engaging with Success to now, they've gone from 33 to 47 locations. So there's a lot of new centers and investment that's gone into that, just the fact by virtue of maturing those, increased growth in our Spravato region and then some management changes we've made in underperforming regions should have our existing network be able to get there. And I want to reiterate in terms of, obviously, the $100 million is kind of that benchmark for a breakeven when we've executed synergies and in a steady state scenario, but that really is the aim for the business. That's where we want to get to.
David Martin: Okay. And do you believe the cash on the balance sheet now is sufficient to get you to that breakeven point?
Erns Loubser: Yes. We are -- based on our targets, we are laser-focused in terms of doing those two things, executing on the top line growth for the reasons that I mentioned and executing on synergies where there's still significant opportunity. And as we speak, we are still executing on those. So yes, we obviously don't have enormous amount of cash in the -- we still believe through laser execution we can get there.
David Martin: Okay. Your revenue per treatment in the third quarter was about $11 lower than in second quarter, but the direct center and patient care cost per treatment was $16 lower. So you're making $5 more profit per treatment. Was this mainly due to differences in Success' cost structure or other factors such as seasonality? And do you expect any changes in these levels going forward? Do you expect the revenue per treatment to go up or down and the cost per treatment to go up or down?
Erns Loubser: So yes, there's a couple of things that play there. And as you're right, it's purely the movement in kind of the cost of treatment and revenue per treatment is purely a product of kind of like I said, you have to contextualize these results, combining 2 businesses. The reimbursement rates, I'll address first. That's kind of jurisdiction based, obviously, Success got a presence in Florida. That traditionally has a little bit of a lower reimbursement rate. We also -- another factor that's played a role, we see -- and if you look back, we always see there's a little bit of softer collections. And during the summer months with payer folks taking vacation, that's reversed. So our adjustment for variable consideration was a little bit higher, so that will reverse an uptick. And then as we expand our Spravato business, that's a higher reimbursement rate will probably pick that up again. So I'm fairly confident we will see a little bit of a -- even though in aggregate, the Success TMS business operates at a slightly lower reimbursement just purely because where they operate, we will see a little bit of a reversion back to where we were.
Bill Leonard: And David, just to add to that, every year or 2, we have the ability to go back and negotiate with payers to try to get our reimbursement rates increase. Again, the more patients we deliver TMS therapy to and Spravato treatment to and show value in that, we believe we have a good opportunity to kind of increase our reimbursement rates.
David Martin: Okay. And on the other side of things, the direct center and patient care cost per treatment, is that because Success has higher capacity utilization at their centers and should we expect that lower cost per treatment at the center level to remain low?
Erns Loubser: Absolutely. So I think that speaks to some of the synergies and some of the reasons why we made the acquisition, things that Success did really well and specifically relates to the intake process. They also kind of -- leverage was more aggressive on using fixed costs and leveraging those and as you say, capacity utilization. So with combining the businesses and putting kind of best of breed together, the goal is absolutely to continue to operate at a lower cost per treatment.
David Martin: Okay. And then last question. Once the dust has settled, where do you expect quarterly regional costs and corporate G&A expenses to track to?
Erns Loubser: In terms of that, at what level of revenue is kind of the question. I mean if you normalize our current G&A, it was 9.6% in the quarter. If you normalize that out, it's running around 6%. We want to take a chunk of that still out. So that gives you a sense in terms of, call it, between that $20 million to $25 million range with the revenue ramp.
David Martin: Sorry, what -- you said normalize at 6%, that would take it back to where you were before you bought Success. Doesn't Success adds some to the corporate G&A?
Erns Loubser: It does. But we are taking out -- we were, as an individual business, taking out costs and rationalizing our core G&A. And as we've said, yes, Success will add a little bit of core G&A, but it is 2 business fully fledged cost structures that were put together. And part of this -- the huge synergistic value here is kind of eliminating kind of a duplication of -- a large duplication of core G&A. So take it to that towards the high end of that, the $25 million.
David Martin: Okay. And then the $8.3 million of regional costs, is that expected to be stable going forward? Or can you get synergies...
Erns Loubser: There's going to be less synergies in that. There's going to be some synergies as it relates to the intake process. But that's -- it's more scale operating leverage there, so you're going to ramp your revenue without significantly ramping your cost structure.
David Martin: Okay. So expect the cost structure -- the regional costs to stay at about $8.3 million per quarter, but the revenues to start growing.
Erns Loubser: Yes, give or take.
Operator: [Operator Instructions] We have no further questions at this time. I'll turn it back to you.
Bill Leonard: I want to thank everyone for participating in today's call. This is our last opportunity to speak to you before the end of the year. So wishing you all a happy holiday season. Stay safe, stay healthy, and we look forward to sharing the progress with you early next year and look forward to having you again on the next call. Thanks so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.